Operator: Good afternoon, and welcome to Pineapple Energy's First Quarter 2024 Conference Call. As a reminder, today's call is being recorded [Operator Instructions] For opening remarks and introductions, I would like to turn the call over to Eric Ingvaldson, CFO of Pineapple Energy. Mr. Ingvaldson, please go ahead. 
Eric Ingvaldson: Thank you, Benjamin. Good afternoon, and welcome to Pineapple Energy's conference call to discuss results for the first quarter of 2024. With me today is Kyle Udseth, our Chief Executive Officer. Our call this afternoon will include statements that speak to the company's expectations, outlook and predictions of the future, which are considered forward-looking statements. These forward-looking statements are subject to risks and uncertainties, many of which are beyond our control, which may cause our actual results to differ materially from those expressed in or implied by these statements. 
 We are not obliged to revise or update any forward-looking statements except as may be required by law. Please refer to our disclosures regarding risk factors and forward-looking statements in today's earnings release and other SEC filings. A copy of our press release has been posted to the Investor Relations page of our website for reference. The non-GAAP financial measures discussed in this call are reconciled to the U.S. GAAP equivalent and can be found in the press release that we issued yesterday. With that, I will turn the call over to our CEO, Kyle Udseth. Kyle, go ahead. 
Kyle Udseth: Thanks, Eric, and thank you to everyone for joining us on the call this morning. The tone of today's call is going to be a bit different from prior quarters. Although I would also say that 1 quarter of underperformance doesn't knock us off the longer-term path or fundamentally change our positioning in the marketplace. But if you go back and review the transcripts from all of our 2023 earnings calls, I've always tried to start and end with profitability.  
 Generating positive EBITDA has been our North Star because we wanted to differentiate ourselves from other larger public peers with hard to parse financial statements and bespoke metrics and run a business with a strong top line, healthy gross margin and discipline on OpEx to produce profit margin and operating cash generation. Unlike in each of the 4 quarters in 2023, we were not able to deliver positive EBITDA in Q1 2024. It is a frustrating result in spite of a lot of effort from our teams in Hawaii, New York and the corporate team in Minnesota. But what I can say is that we are committed to getting profitability back on track in Q2 and beyond. 
 As Eric will share more in his section, Q1 of 2023 was a bit of an outlier for us due to the timing of projects we'd originally expected to hit in Q4 of 2022, so the year-over-year comps look worse. And it is not uncommon at all for rooftop solar businesses to have negative EBITDA in Q1 due to timing and seasonality. In fact, I think it's far less common for a rooftop solar company to have a profitable Q1, but it is also the case that we underperformed versus our own internal budget in Q1. So the culprit isn't just seasonality. 
 At our HEC business in Hawaii, revenue was down both year-over-year and versus budget. The lucrative battery bonus program that drove a large and sustained wave of demand on Oahu throughout 2023, crashed on the shore in December and confusion over the timing and details of the successor tariff caused uncertainty and lack of action from customers throughout the first quarter of this year. We believe we are through the worst of the lull. And while the current incentives are not as lucrative as before, the economics of going solar with storage are still very strong. in addition to all of the resiliency and control and clean energy benefits that homeowners love and are becoming more prominent in the decision in Hawaii. 
 Additionally, there are proceedings underway at the Public Utilities Commission that will influence the future of the grid and we believe it will be more connected with distributed energy resources playing a key role. HEC and our technology arm E-Gear are ready to lean in and help shape the grid of the future in Hawaii. 
 Now turning to our SUNation business in New York. We also had misses on both the residential and commercial sides of the business year-over-year and versus budget. The residential story, especially though, is pretty positive as the year-over-year comp really wasn't meaningful due to noise from December of 2022, and the miss versus budget was very slight. 
 Furthermore, new kilowatts sold in the quarter were up strongly year-over-year, which sets us up well for success going forward. We went through a significant transition in late Q3 and early Q4 of last year, changing marketing leadership, lead generation, budgeting and approach, our marketing agency and the sales leadership approach. These were big changes and took some time to stabilize, but they were the right moves and have resulted in better conversion at lower customer acquisition cost. 
 And then our ability to get projects through the pipeline from a signed sales agreement to glass on roof to an activated system has continued to improve as well. Overall, the residential business on Long Island is in good shape. Turning now to the commercial business unit. This is where we saw the biggest underperformance versus budget. We had a number of projects slip due to extenuating circumstances. The good news is these projects are all still on our schedule for the remainder of 2024, along with many more that have been signed so far this year in a strong demand environment. 
 We have a healthy pipeline on paper and now it will come down to execution over the rest of the year. We have implemented new project management, tracking and oversight processes, and we will get commercial back on track as the growth engine it can become. I just mentioned the strong demand environment for commercial solar in New York. Let me expand on that and reprise a bit a paragraph from last quarter's call. Demand is starting to rebound for residential and commercial rooftop solar all over the country, although the real acceleration should pick up in the second half of the year as rate cuts begin. 
 The desire for homeowners to go solar and ideally add a battery, is as high, in my opinion, as it's ever been. People want control and predictability over their electric bills. They want a way out of crushing annual bill inflation, they want to produce their own clean power and they want backup and resilience in the face of increasingly severe weather and an increasingly fragile grid. That desire has not yet fully translated into demand this year and into closed sales as people have stayed on the sidelines due to interest rates, regulatory uncertainty and some general economic malaise. But it's really important to parse out that first point that this is the winning technology, it's the technology of the future and also the technology of the present. And consumers very much want solar, battery storage and to further electrify their homes and transportation and lifestyles. 
 On this as well as prior calls, you've heard a lot of discussion on organic growth and bottom line focus from our existing businesses. That is our foundation that supports the strategic platform for Pineapple. But the broader vision is absolutely still intact to drive a roll-up of leading local and regional rooftop solar companies, and we've made steady progress on that front as well. The current environment presents a tremendous buying opportunity for experienced and savvy consolidators who can find and integrate the right companies. 
 With that, I'll now turn the call over to our CFO, Eric Ingvaldson, to walk through our financials. Eric, please go ahead. 
Eric Ingvaldson: Thank you, Kyle. Total revenue was $13.2 million in the first quarter of 2024, down $8.8 million or 40% from the first quarter of 2023. In addition to unfavorable market conditions in the first quarter of 2024, the first quarter of 2023 was a tough comparison for Pineapple. In late 2022, permitting issues in Hawaii and delayed equipment deliveries in New York led to a significant number of projects originally scheduled for the fourth quarter of 2022 being installed in the first quarter of 2023. 
 These timing issues led to a robust first quarter in the prior year during the period, which is normally a seasonal lull point for the business. Despite this decline in revenue and gross profit, we were able to minimalize operating losses in the quarter which I'll expand on in the proceeding text. So I mentioned, total revenue was $13.2 million in the first quarter of 2024, down $8.8 million or 40% from the first quarter of 2023. Residential contract sales decreased $6.7 million or 37% due to a 29% reduction in residential kilowatts installed and also a decrease in average price per system installed as a result of lower financing fees and lower battery attachment rate. 
 Commercial contract sales decreased $1.8 million or 65% due to a delay in the start of commercial pipeline projects. In addition, there was a software revenue of $250,000 in the first quarter of 2023, that is related to a onetime licensing arrangement that did not recur in the first quarter of 2024. Total gross profit was $4.8 million in the first quarter of 2024, a decrease of $3.2 million or 40% from the first quarter of 2023. Gross profit decreased due primarily to decreased revenue. Gross margin remained flat at 36% during the first quarter of 2024 as compared to the first quarter of 2023. Total operating expenses were $7 million in the first quarter of 2024, a decrease of $3.2 million or 31% from the first quarter of 2023. 
 The decrease in operating expenses was primarily due to lower amortization expense and lower sales and marketing expense, including commissions on lower revenue in the quarter and decreased personnel expenses. Operating expenses in the first quarter of 2024 included $800,000 of amortization and depreciation expense, $197,000 of share-based compensation expense and a $350,000 favorable fair value remeasurement of earn-out consideration. 
 Other income was $3.4 million in the first quarter of 2024, an increase of $3.8 million from the first quarter of 2023. This increase was primarily due to a $3.7 million fair value remeasurement gain on our warrant liability and a $626,000 increase in the favorable fair value remeasurement of contingent value rights, which was partially offset by a $306,000 increase in interest expense because of debt financing we closed in the second quarter of 2023. 
 Net loss from continuing operations attributable to common shareholders was $10.1 million or $0.26 per diluted share in the first quarter of 2024. This was a decline from the net loss from continuing operations attributable to common shareholders in the first quarter of 2023 of $2.6 million or $0.26 per diluted share. The net loss from continuing operations attributable to common shareholders in the first quarter of 2024 included an 11.3 -- included $11.3 million in deemed dividends attributable to common shareholders. 
 Net income from continuing operations in the first quarter of 2024 was a positive $1.2 million, a 146% increase from a net loss from continuing operations of $2.6 million in the first quarter of 2023. First quarter 2024 adjusted EBITDA decreased $1.9 million compared to the first quarter of 2023. 
 This was due primarily to the decline in gross profit, partially offset by the decline in operating expenses. As of March 31, 2024, cash, cash equivalents and restricted cash were $3.3 million. Of that, $1.5 million was held as restricted cash and investments that can only be used for the legacy CSI businesses and will be paid to the holders of the CVRs which stands for contingent value rights. 
 We are actively engaged in fundraising efforts to ensure that we have adequate capital to fund all of the company's obligations for the remainder of 2024. 
 Now we would like to open the call for any questions. Operator, please go ahead. 
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And your first question comes from the line of Donovan Schafer with Northland Capital Markets. 
Donovan Schafer: So first, I want to ask with the commercial business down in New York or Long Island as a result of delays. Can you just elaborate on what's driving those delays that, that is like a temporary headwind or if there's a growing backlog? Like there's so much going on in this spot around like utility scale and other things, but -- and often, commercial has kind of been the one that, I don't know, just sits in nicely or something and doesn't get held up, but are various authorities or AHJs or whatever getting bogged down? Or what's kind of the driver behind that? 
Kyle Udseth: Yes. I think that it's a key question for us kind of looking backwards and moving forwards. I'll say every project is kind of idiosyncratic. There's not one broad theme across it. It doesn't have anything to do with general interconnection delays or processing queue problems or things from the grid. I think that every project is kind of its own unique animal, and it's both what's good and bad relative to residential, right? Residential projects are small, but they tend to go consistently and it's a numbers game and things happen on any given project, but it's large sample sizes. 
 And overall, it's predictable and repeatable and you have a good sense of how those are going to move through the pipeline. And you can predict pretty well when you go out to what your lead spend is going to be, to what the top of the funnel is going to look like, converting the lead to opportunity to [ a sit ] to a close sale to an install and what time line. Commercial is a very different beast and the projects are bigger and the payments are chunky and everyone is kind of its unique snowflake. I think that there's no blanket explanation. Sometimes it's [ seize or ] study, sometimes it's other permitting or environmental sometimes or sub to a prime. Sometimes the company is dragging its feet on things moving forward. 
 I think that we have based on the performance of commercial in Q4 and Q1, I think we, as the corporate team have gotten a lot more involved than we have been in the past on making sure we understand every contract, every milestone, all the timing, have done a lot more on forecasting and re-forecasting for the year. Just to put a lot more structure and process in place to have oversight and make sure that these are being actively and proactively managed in a way that's moving things through the pipeline and predictable. And so I think that it's both the case that it's underperformed looking backwards, but that we're very optimistic about what the remaining 9 months, if you cut it off at 3/31, 8 months if you cut it off at the end of April look like going forward for the rest of the year. 
 And I do think that it's been a part of the business that was maybe out of favor with a lot of the rooftop companies in 2021, 2022 and first half of '23. I do think that with the Inflation Reduction Act, a lot of the changes to the transferability of tax credits and direct pay and things like that open up the marketplace and reduce some of the hurdles, especially for nonprofits and that. I think in the New York market, we're having a lot of successes with kind of nonprofits, things like churches and synagogues and temples. 
 And I think that taking the example from New York and translating that to our Hawaiian market, we've started to ramp up efforts there and having some good top-of-funnel results there. So I think that it's a significant part of the historical miss, but I think we're optimistic about it going forward. 
Donovan Schafer: Okay. That's helpful. And then I want to ask, I know you are -- you don't have a full year 2024 guidance out. But given that you know the sales number, like we can point to the first quarter to talk about -- there's the seasonality factor that always happens. And then you said that sales, I think, in the release that -- and I think what you mean by that is sort of originations, not like what translates into revenue because the revenue, I believe, mostly gets recognized as inflation happens. 
 So sales or originations were sort of flat year-over-year, which would suggest -- on a kilowatt basis, which would suggest a positive trend heading into Q2 revenue. And then given that you've done all this additional kind of vetting and looking more granularly at the commercial business, do you have as some sort of a rough sense for the rest of the year? Like do you think on a full year basis, you're going to end up, up year-over-year or down or maybe like flat in terms of kilowatts? So maybe down a bit from lower equipment costs or things like that? Just anything kind of a rough sense or even if maybe it's just sort of too close to call, if you'll be a bit up or down, that itself kind of gives some general sense. So anything you can comment on that would be nice. 
Kyle Udseth: Yes. I know we talked about this on the last call, and we didn't have a number. And I think you actually answered more eloquently than I did on the last call about why that might be the case. I think that there has been a lot of noise in the marketplace in the first quarter. And I think that -- even like for some of the reasons we talked about, the regulatory changes in that and this kind of ramp in commercial where there's a lot of demand in the market that you think is going to pay dividends down the line. 
 I think we didn't have confidence in like the start of the year and our ability to forecast super accurately for the rest of the year yet. I think that as we sit here right now, we probably are close to the point where we could put a stake in the ground for the re-forecast for the full year and for the rest of the year and be pretty accurate on it. We haven't really gone through that in as much detail as we need to. And our accounting cadence of closing out months about the 15th, I think it's something we should probably do year after the April close is due to [ 4 plus 8 re-forecast ] and could be in a position where we want to share forward guidance at that point. 
 I would say just given how far down Q1 was year-over-year. I don't think it's realistic to expect that full year 2024 revenue is going to exceed 2023. I think that there's a fighting chance of that for Q2, Q3 and Q4 combined this year versus Q2, Q3 and Q4 of last year. I will also just reiterate what Eric mentioned that as equipment prices come down and especially as the financing fee model changes and the dealer fees aren't as big on some of these projects -- and when that's not counted as GAAP revenue upfront. It could be the case that for both of those, your units sold and installed are flat, but the revenue is down, but the gross profit dollars are flat or even up. 
 And so I think we probably started talking about this in Q4, and we should get better about, I think, a more consistent drumbeat about this. But we really are trying to orient around gross profit dollars as opposed to revenue as kind of the top line metric going forward. And then it's just so, so, so critical for us to control our OpEx. And the biggest line item of that is personnel. 
 And so I think to have a successful remainder of the year. We need to -- it's not rocket science. We need to keep selling. We need to keep installing at a healthy margin, and we need to drive those gross profit dollars for Q2, Q3 and Q4 at or above where they were at the same time period last year, and we really got a have discipline on OpEx. 
Eric Ingvaldson: Don. I would add that you're correct that when we speak about revenue that is installed kilowatts. Sometimes when we talk about sales, that is -- those are origination and become revenue later. So if you look at what we disclosed in the earnings release, our quarter-over-quarter kilowatts sold were down a little bit, 7%, but our year-over-year kilowatts sold for residential was pretty much flat. So at least for the residential market, that's a decent indicator of what is to come, what the installs will look like going forward and then in [indiscernible] we need a very robust commercial pipeline. 
Donovan Schafer: That's very helpful. And then just one last question for me. I am curious, so comparing -- kind of comparing and contrasting with the other big solar companies, Sunnova and Sunrun and whatnot that have reported. And I know it's not like they're straight up competitors per se or like where Nova, you might use their product. But you're kind of taking these different strategies where Sunrun is really focusing on driving a higher battery attachment rate. 
 And they're at such a huge scale. Like they're so big that if they make that a top-down-driven initiative, they can basically make that happen. And so they inched up attachment, battery attachment rate like 200 basis points this quarter over the last quarter. And for you guys, it went down a little bit, about 500 basis points and not -- from 36% down to 29%. Not a huge drop in URs, you're generally speaking, smaller than -- certainly than Sunrun. 
 It can also just be like a lumpiness thing impacting you guys. But I'm curious where you sit in terms of like that strategy, how for Sunrun, it's just this real, we're going to focus on margin. We can absorb more overhead and customer acquisition costs and truck rolls or whatever, if we're attaching more batteries each time and all this stuff. And so does that make sense to you as an approach? Does it maybe not apply since you're not doing ABS issuances or something? And is the lower attachment rate -- is something driving that for you guys? Or is there just a general lumpiness given that you're not at the mega scale Sunrun is at? 
Kyle Udseth: Yes. I think it's good question and a very interesting question. I think -- look, like we're -- we've drank the Kool-Aid like the future is a distributed grid with distributed generation, distributed storage and other distributed energy resources and electrification of everything. So I don't think we're that far away from a grid where every good rooftop has solar panels on it. They're all connected to batteries. Most vehicles are electrified. Like space heating and cooling, water heating is electrified. So yes, in terms of the mega trend like we are all-in. 
 I think that so much of the battery story comes down to markets, right? And I think for Sunrun, I haven't gone deep into their numbers, but like they just have so much exposure to California that before NEM 3, there were a whole lot of smaller systems with cheap leases and PPAs being sold by door knocking groups in California on Sunrun Paper. And then NEM 3 happens and that segment largely vaporizes, and they had to shift to battery attached for the economics of NEM 3 systems to work in pencil. And so I think there's kind of a before, after comp thing there for Sunrun in California because of NEM 3, that's probably driving most of it. 
 But at the same time, I think it is probably an intentional strategy for them, and we agree with that strategy. I think if you look at our markets, Hawaii in a sense, has almost 100% battery attach rate on any like brand-new greenfield roof that doesn't have PV solar on it for years. It's like you just -- you don't put new solar on a house in Hawaii without attaching a battery because of the non-export tariffs. I think in Hawaii, a lot of the attach rate is a mix shift between how many new installs we're doing versus how many like add-on or retrofits we're doing to our existing customer base. 
 And one of the things that Chris and the team did there, which was a really great pivot was when we were seeing lack of customers willing to get off the sideline at the end of December going into Q1 and sign new sales agreements for solar plus storage because of this tariff uncertainty from the PUC and the unexpected early shutdown of Battery Bonus, we lean in a lot more on database marketing and going back out to our own customers and looking to repower older systems or do kind of NEM add-ons where people increase their usage or could add more panels on to an existing grandfathered system.
 And so it was a great way to kind of keep the head above water in Q1, but it resulted in a mix shift, which I think was kind of a one-off, right? I think the battery attach rates were very high last year because of this Battery Bonus program, and we're still kind of seeing how it shakes out under the new tariff. But generally, in Hawaii, going forward, all new solar is still going to have batteries and we like that a lot, and we also like doing retrofits and repowering on our own customers. 
 And then I think some of it is also just a mix shift between the New York market and the Hawaii market. In Q1 of this year versus Q1 of last year, largely owing to some of that noise from December. Hawaii made up a larger percentage of residential install revenue in Q1 last year than they did this year. And so it's just a weighted average thing. I will say that we need to do better about breaking down the problem in the customer value proposition and selling storage on Long Island. And I think we can do a better job there, but it really is hard to kind of push on a string when the local market incentives aren't totally there yet. It's like I love batteries. I want a battery. We got a well at our house. We live down in the bottom of this kind of hollow where the power lines get snow and stuff weighing on them. 
 And when the grid goes down, which happened a decent amount of times for us last year, I have to tell my kids, they can't flush the toilet. So we don't like that situation. So I would very much like to put a battery on. But if you look at the cost of putting a power wall on versus a backup generator, it's just not economic, right? And you're not going to find somebody who's more passionate about this than me. But if you don't have the right combination of incentives in place, like what the Battery Bonus was in Hawaii and what they are going for it, it's hard to just expect customers to shift to adding batteries just for resilience, right? 
 And so I think that it's certainly an opportunity going forward to grow it off of a low base in Long Island. But I think some of what you're seeing of our numbers and our numbers versus Sunrun and the shift over time, a lot of it is just a mix shift and a geography thing. 
Donovan Schafer: That makes a lot of sense. Okay. I'll take the rest of my questions offline. 
Kyle Udseth: Thanks, Donovan for the engagement and the great questions as always. We appreciate it. 
Operator: Seeing no more questions in the queue. Let me turn the call back to Mr. Udseth to conclude the call. 
Kyle Udseth: Thank you, operator. To conclude, we're in a bit of uncharted territory here for Pineapple as we finished all 4 quarters of 2023 with positive EBITDA. And so this is our first earnings call with a negative EBITDA quarter. Timing and seasonality had a big role to play, but so too did some internal underperformance, and we are refocused for Q2 and beyond around accountability and driving results. 
 We need to continue pushing forward to help more homeowners go solar while holding the line on costs and pursuing growth by acquisition as well. Thanks to everyone listening to or reading this for your ongoing engagement. Utility rates keep going up, solar costs keep coming down and interest rate cuts are on the horizon. That's a winning setup for consumers and a winning setup for rooftop solar and battery storage. Thank you again for joining us this morning, for your continued support. If you have any questions, please contact Eric or me. This concludes our call today. You may all disconnect. Thank you.